Operator: Good afternoon, and welcome to the MGM Resorts International First Quarter 2024 Earnings Conference Call. Joining the call for the company today are Bill Hornbuckle, Chief Executive Officer and President; Corey Sanders, Chief Operating Officer; Jonathan Halkyard, Chief Financial Officer and Treasurer; Kenneth Feng, Executive Director and President of MGM China Holdings, Hubert Wang, COO and President of MGM China Holdings; and Andrew Chapman, Director of Investor Relations. [Operator Instructions]. Please also note today's event is being recorded. 
 At this time, I'd like to turn the floor over to Andrew Chapman. 
Andrew Chapman: Good afternoon, and welcome to the MGM Resorts International First Quarter 2024 Earnings Call. This call is being broadcast live on the Internet at investors.mgmresorts.com, and we've also furnished our press release on Form 8-K to the SEC. 
 On this call, we will make forward-looking statements under the safe harbor provisions of the Federal Securities Laws. Actual results may differ materially from those contemplated in these statements. Additional information concerning factors that could cause actual results to differ from these forward-looking statements is contained in today's press release and in our periodic filings with the SEC. Except as required by law, we undertake no obligation to update these segments as a result of new information or otherwise. 
 During the call, we will also discuss non-GAAP financial measures when talking about our performance. You can find the reconciliation to GAAP financial measures in our press release and investor presentation, which are available on our website. Finally, this presentation is being recorded. 
 I will now turn it over to Jonathan Halkyard. 
Jonathan Halkyard: Thanks, Andrew, and good afternoon, and thank you, everyone, for joining our call. We've decided to change our approach to these calls in the new year to give you a more focused recap of our results with additional color and commentary around our plans for the future. With that in mind, I'll start the call with a discussion of the quarter and our growth algorithm and then pass it over to Bill for his comments. 
 As you saw from our press release, we delivered another record quarter across our company's consolidated businesses, generating record net revenues of $4.4 billion, up 13% from last year, net income of $217 million and adjusted EBITDAR of over $1.2 billion. During the quarter, cash provided by operating activities was $549 million and free cash flow was $377 million. This includes MGM China's $215 million in cash flow from operating activities and $15 million in capital expenditures.
 In Las Vegas, we achieved 4% net revenue growth supported by strong ADRs, which were up 7% year-over-year. Our luxury resort offerings on the Strip served as a distinct competitive advantage, driving top line growth up 5% during the quarter. Looking ahead to the rest of the year, rate is pacing ahead of prior year for each of the remaining three quarters and group rooms on the books are up year-over-year.
 In the regions, it's no surprise that our businesses were broadly impacted by poor winter weather in January. That said, we experienced a quick recovery in February and acceleration into March. This also will be the last quarter where we need to adjust for same-store results as Gold Strike closed in February of last year.
 In Macau, we lapped what was really the start of the recovery last year and achieved another record with net revenues up 71% year-over-year. MGM China earned its first ever $300 million quarter in adjusted property EBITDA, along with market share of 17% surpassing the previous record set in the fourth quarter. Given the strength in MGM China's operating performance over the past 15 months, MGM China and MGM Resorts both agree there is no longer a need for MGM to support its liquidity. And in March, the subordinated loan agreement was terminated. Further, the revolving credit facility has been nearly paid down and dividend payments have been resumed with approximately $94 million to be paid to MGM Resorts in the second quarter, all very encouraging.
 Aligned with our ongoing commitment to fortify our balance sheet and bolster liquidity, we recently completed the closing on the offering of $750 million of senior notes due 2032 at 6.5%. These proceeds were used to repay our [ 6.75% ] 2025 notes. Sarah Rogers and her team did an exceptional job, and the refinancing not only extends our liquidity profile but reduces our interest expense annually.
 Finally, in Japan, along with our partner, Orix, our venture closed on the JPY 530 billion project financing for MGM's Osaka Integrated Resort. This was the largest project financing ever in Japan and one of the most significant integrated resort financings globally. With this important milestone achieved, we'll continue to develop as soon to be iconic resort. We also bought back over $500 million of shares in the quarter, and as of yesterday, we've reduced our outstanding float to 313 million shares, 37% fewer than the start of 2021.
 I'll close with a summary of our financial growth algorithm. Our resort operations generate both significant and recurring cash flow. In 2023, cash provided by operating activities was $2.7 billion and free cash flow was $1.8 billion, of which MGM China accounted for $830 million of net cash from operating activities and $45 million of capital expenditures. This implies around $1 billion of free cash flow domestically. We expect to see benefit soon from our digital business with BetMGM beginning to generate significant free cash flow in the next couple of years and LeoVegas beginning to generate returns from its investment period. This free cash flow generation will fund future growth and opportunities where I expect minimum mid-teens returns. This includes international digital expansion as well as brick-and-mortar development.
 In the longer term, we have an enviable pipeline of limited license development projects in New York, Japan and potentially the United Arab Emirates which will drive free cash flow growth over the next decade while also diversifying our geographic reach and earnings sources. Any excess cash generated beyond these projects within the constraints of our financial policy will be returned to shareholders through share buybacks. Collectively, we see this algorithm is driving the compound annual growth rate of free cash flow per outstanding share to be the mid-teens through 2028. And all while investing in the Japan Integrated Resort.
 Bill, over to you. 
William Hornbuckle: Thanks, Jonathan, and good afternoon and good evening, everybody. I am the color commentary that Jonathan spoke to in his opening comment. And what I want to do and what I hope to do in the future on these, just go through some top line thoughts as we think about the business and reiterate things that I think are important, obviously, in what happened in the quarter, but more importantly, from a go-forward perspective. 
 Obviously, when we use the word record first quarter and if you look at and think about recent reporting, we're pretty excited and pretty pleased with that. It speaks to our diversity of our business and our four key pillars: Las Vegas, our regional properties, Macau, and we believe, ultimately, our digital business. We're obviously very excited and pleased by what's happened in China. Our EBITDA is up almost 80%, and it's 140% over 2019 levels. So it speaks to that market. I think what we've been able to accomplish.
 In Las Vegas, our strength continues, particularly at the high end we make roughly 75% to 80% of our adjusted property EBITDAR. The idea of a luxury campus and being focused on the epicenter of activity here has paid off, and we feel will continue to. And Marriott is off to a great start. We've booked approximately 75% over our expectations. And to date, we've booked over 140,000 room nights and the most surprising thing to date has been the group business. The activity case in that segment was a little unexpected. They do know a lot of folks that we didn't know, and we're quite pleased by that.
 And again, as I always start these, a kudos to our team, our Net Promoter Scores have never been higher. We're holding these scores on margins that have delivered. You saw the margin this past quarter at 37% for Las Vegas. And so we're very excited by that. And I want to thank the team who is doing more with less and doing it better than they've ever done it. So thank you.
 As it relates to capital allocation, you've heard Jonathan talk about the credit facility. That's about $3.6 billion in Japan that represents the largest private financing in Japan's history. And we've also been able to hedge about 60% of that project against obviously has been a massively over inflated yen in our favor over the last couple of years. And so we're well into that positioning at 60% of that project hedged for the future. And obviously, we continue to leverage the balance sheet. You heard Jonathan say we've bought back 37% of the company, and we'll continue to do so where we see value.
 I think about Las Vegas first, again, another strong quarter, principally driven by the high end. Although we did see some signs of fatigue at the lower end of the market, overall ADR was up 7% in the first quarter and expected to hold that range into the second with increased occupancies looking at the second quarter and through the balance of the year. We're excited by the opening of connectivity between ourselves and Cosmopolitan. We finished the bridge that ties Cosmopolitan Vdara and Bellagio. And next quarter, I'll talk to you more extensively about plans to do a similar thing in the front of Bellagio that will tie out the front end of the strip to the Cosmopolitan and creating what we truly hope is a luxury campus.
 The other thing that's obviously beginning to materialize. We saw the closure of the Tropicana and the [indiscernible] stadium is coming. And if you just take a moment and think about the positioning of us and all of these stadium/arenas between T-Mobile, Allegiant, and the new [ A ] stadium within a mile and really at the epicenter of our resorts, we have over 1 million seats a month that are accessible to some sport or entertainment activity and programming.
 We have suggested in prior calls that our convention business was returning and it is and it has, most notably from tech our group forecast is up 6.5% for 2023, and our year-to-date production is up 29% for all future dates. And I will tell you that Mandalay Bay in April just had one of its most successful months in its history. And so we're excited and pleased by the team and the work that they've done down there. Despite all of this, we've continued to maintain the margins. And I want to remind something on the wage, obviously, the wage impact issue was almost 11% in Las Vegas or actually across the company, if I think about some of the individualized properties, but particularly across Las Vegas, come June 1, that begins the cycle. And overall, if you recall what we did, we did a 5.5-year deal with just over a 5% CAGR. And so those percentages now will begin starting in June, at least as an increase begin to fall.
 And then if you think about Las Vegas, maybe my final comment, Tropicana has closed. Obviously, the Mirage is pending and what may or may not happen there, but we don't see any new inventory for a considerable period of time. And obviously, we think that accretes favorably to us and ultimately, our current players.
 You heard Jonathan's comments on the regions, and I think you've heard from many others, the quarter started slow, there was bad weather, particularly in the North and the Northeast, Detroit was particularly impacted by weather, by strike and still a hangover from the cyber. But each month has gotten progressively better. And in March, we returned with 47% market share. And so we're pleased by where that business is going directionally as well as the balance of our marginals and Corey promised all of us a 30% margin, and we hit it. And so given the wage increases, I'm pleased with that team and excited by that as well.
 Macau, as you all know, for us, in particular, but I think for the market is simply booming. We continue to maintain, I think, an outsized portion of share, we're at 17% for the quarter. Obviously, record EBITDAR. We paid our first dividend since 2019. We heard this week about Visa reforms. And I think some of the regions are opening up without needing visas at all. And so I think that accretes all to visitation and obviously, in all of our favors. And if we recall, the market's probably back at about an 80% rate. So we still see some uptick and some growth there. For us, in particular, we're excited by some of the enhancements. And we're adding new villas at MGM Macau and Suites in Cotai because we are under suited in that market.
 We have a new show that was announced, [ Johnny Mo ], the producer the 2008 Beijing Olympics is producing a show for us, which we're very excited about. And we have a world-class museum currently under construction at MGM Macau which will begin to satisfy and speak to some of the cultural things that we promised the city in Macau in general that we do. And so overall, I couldn't be more pleased with the team and the job. And I will make this comment, margins there, you'll see our 29% for the quarter. So despite the hyperbole about all of the promotional activity, particularly aimed at us at 29%, I just query that, and I challenge that and frankly, if we had retail to the extent of someone like two of our competitors, we'd be in the low to mid-30s. And so I'm excited about what the team continues to do there. And obviously, we expect and see. And as we've seen again in April, that to continue.
 Moving over digitally. There are some challenges, obviously, in North America. We are focused with BetMGM on our product and Angstrom integration and we're working hard at that. We've launched single account, single wallet everywhere but in Nevada. And you will see that come to fruition between now and football season. And Angstrom has now begun to give us additional parlay offerings and in-play betting for baseball and NBA, and we hope to bring that to fruition again with football this fall. So a lot of work to do there. We recognize the product efficiency, but I like the road map. I like the team. I like the focus, and I like where we're going.
 Outside of the U.S., LeoVegas, particularly now in Sweden, has seen a return. There was a whole relicensing procedure there that cost everyone, including us, and that was their primary market. So LeoVegas is on the rebound. BetMGM U.K., which we spoke about last quarter is doing exceptionally well. We've established a real presence there. And again, something we're excited by. And then yesterday saw the first soft launch of BetMGM in the Netherlands. 
 And so the BetMGM brand will begin to extend itself throughout LeoVegas' network and beyond. Overall, our digital strategy remains the same. At some point, we want to be self-sustaining with all site features, including producing our own games and our own product. Some of the initial work by Push, we've mentioned before, is doing exceptionally well, and we're excited by that. You'll see live dealer up and operating between now and the end of summer here in Las Vegas. Very excited to understand that and the value that, that ultimately bring our digital business. 
 And the idea that we could do live dealing from Las Vegas and put it out into several global markets, I think it's going to be interesting and fascinating for the business and a good brand builder of note. And we are also looking at to LeoVegas business, LATAM and South America and some additional Eastern Europe countries for exposure and for expansion.
 On the development pipeline, we've talked about this, but now that we have financing in place. We put our consortium in place, excited to be going forward with real construction and we hope to be in the ground sometime next spring, summer, driving pylons with a -- we still have an eye on a 2030 opening and nothing is to dissuade that at this point. So we're excited by it. We're excited by the design, the development and the fact that we've got this next most important phase behind us, and so we're pushing forward aggressively.
 You heard Jonathan talk about. We have UAE. We have an eye on Abu Dhabi in Dubai as that unfolds. And so to the extent something becomes meaningful, obviously, we'll keep you all posted. I will say we're somewhat disappointed with the process in New York, but we've been there since, I think, 2015 or '16. We will remain patient and we will remain focused. And the good news here for us is we like our [ chances ], the City of Yonkers has our full support behind us. And so we think that's meaningful as we come ultimately into the process that will entail. It sounds like next spring, if you will.
 And then like many others, we have an eye in Texas and Thailand. Time to tell what happens both in those two markets. Obviously, it's a government process that's ongoing in both places. But we are there, and we are just trying to understand those opportunities for what they may ultimately bring to the company.
 In conclusion, you've heard me use this word in the past. And I think probably more than any other quarter, it came through in this quarter, the word diversification of our products and the diversification of our business. Obviously, Macau did a great deal of lift this quarter. Las Vegas held its own, the regionals are recovering, and the digital business has been fully funded, and we're looking forward to what it can do ultimately down the road. 
 So with all of that, I will turn this open to questions. 
Operator: [Operator Instructions] Our first question today comes from Joe Greff from JPMorgan. 
Joseph Greff: Good afternoon, everybody. Bill, the early experience with Marriott and bookings there positive. Obviously, Tony Capuano mentioned that this morning on Marriott's earnings conference call. I was hoping you could just talk a little bit about what you're seeing so far. I know it's early in terms of out-of-room spend with these bookings compared to maybe either the bookings they're displacing or with just MGM, and this is more of a specific Las Vegas stripe question. And then further to this, is it helping more on the high end? Is it potentially serving as a buffer on the low end? You obviously referenced low-end fatigue in your prepared comments? 
Jonathan Halkyard: Yes, Joe, it's Jonathan. I'll offer a couple of observations. First, as you noted in the [ premise ] of the question, it is early. I mean, we're off to a great start with over 130,000 rooms booked. We've actualized over 50,000 of those so far. What we're seeing now is a higher premium then we had figured when we were going into this deal, breaks down between rate and the on-property spend. But between the two of those, right now, it's around $150 higher than the rooms that we believe are being displaced by this occupancy. About 100 or so of that is on rate and about $50 premium on on-property spend. So that's all with the caveats around it being early, but that's what we're seeing.
 And I'll offer one comment and then maybe Bill or Corey want to comment on the group side of this equation and that is that it really is the leisure customers that we're displacing coming through other channels, but they are across all of the businesses, including our regional properties. 
Corey Sanders: Yes. In the properties, I mean, it's pretty -- they're booking throughout the portfolio. Probably Bellagio's leading, and we're actually seeing some pickup even in our legacy properties. In addition, the other area where we're seeing some pretty nice pickup is Borgata. So we're very pleased with what we're seeing across the portfolio. 
William Hornbuckle: And as it relates to group, Joe, we've gotten tens of thousands of referrals. And the fascinating thing is we didn't know, and we thought we're pretty good at this, we have been historically, but we didn't know 80% of those referrals. And the vast majority of that business is going midstream. MGM has been so far -- again, it's very early, the biggest beneficiary of bookings into the group segment. And so we have 13 GSOs, they have 1,300 literally. So it's meaningful. 
Joseph Greff: And then my follow-up question, maybe more geared towards Jonathan. About a month ago, there was news reports of potential efforts to divest certain regional assets? Obviously, if there was something to update us on, you would update us in the press release. But more of my question is about the strategic thinking in terms of how you go about and maybe thinking about pruning the portfolio domestically and what are the certain characteristics or considerations that you think about when thinking about this? 
Jonathan Halkyard: Sure. I appreciate the question. Clearly, we can't comment on anything like those reports you referenced. But look, we're always looking at the portfolio and to understand how it fits in overall with that strategically. Things that are very important include market positioning in markets that we believe have strong potential for growth. Overall scale because this is a business where most of our properties, including our regional properties are doing north of $200 million annually EBITDAR. So scale matters.
 And then finally, the way in which all of our properties interact with the whole importation of business into Las Vegas, the linkage with our digital businesses, et cetera. But those are the general lenses through which we look at the portfolio and how they fit in with the strategy. 
William Hornbuckle: And Joe, I'll only add one other thing. And those properties that demonstrate beyond just organic growth, real growth potential at some point for various -- each property is a little different, so for various reasons. But if they don't demonstrate that, then we have potentially a different view. 
Operator: Our next question comes from Shaun Kelley from Bank of America. 
Shaun Kelley: I was hoping we can maybe just drill in on digital a little bit. So maybe one kind of specific and then one strategic. The specific question would just be, can you help us think about the loss cadence? I think we've been very clear here that 2024 would be an investment year again. So just help us think about how some of those investments may play throughout. And is there some additional marketing, especially in the second half as you get the product to, I think, where you want in the Angstrom integrations kind of done?
 And then maybe the strategic question, just to hit it all at once would be a big picture here. Kind of what more would you look for in digital? Are there some things on the technology side? And/or is it more of the market expansion side that you're kind of looking to expand upon digitally? 
William Hornbuckle: I'll take that first part of that. So when it comes to BetMGM, if you will, I think your comments are pretty relatively spot on, we want to see the product development as it comes out throughout the balance of the year. I think the idea -- we've all talked about the idea of leaning in, if we think where we need to be and want to be by end of the year, particularly through football and beyond. Obviously, for the first quarter, I think digital for all of us was a little rough. Nobody wanted a Super Bowl bet, no one seemed to win a March Madness bet. We're not alone in that. But all that said, I think the plan that we had put forward in discussions to date, you can hold true on.
 As it relates to longer, there are obviously -- particularly with things like Angstrom and product deliverable, there's a lot to be done that can be done. We're pushing 40-odd states in terms of sports betting. Obviously, iGaming is the real opportunity over time. Arguably, we're all in fix. I think we operate in five and three that really make a difference. And so there's huge upside to that potential. And we continue to try to push for that each and every day.
 If you think about then the digital side of our other business, meaning the LeoVegas business, it is about the extension of BetMGM's brand and what it could mean in certain established markets. And the focus on places like South America of note and LATAM, we see long-term real growth potential there if we can get ourselves established in the proper regulated markets. And so none of that happens overnight, as you know, but like what we've done in terms of positioning like the products that we have and the foundation we've built, particularly there and some of the things we were bought to add going down the road there to stabilize that business and to own all of that business. And so we're excited by that. 
Operator: Our next question comes from Carlo Santarelli from Deutsche Bank. 
Carlo Santarelli: Jonathan, just doubling back to some of your comments earlier in the call. Obviously, good ADR growth in the first quarter, rates pacing up for each subsequent quarter grew pacing well. Obviously, as Bill mentioned, we lapped the big headwind with the union contract, the incremental expenses. As you guys think about the rest of the year and all the puts and takes, be it hold comparisons from last year, easy/hard et cetera, events last year, although that should pretty much normalize right now in the book of business that you currently have with kind of some of the known expenses and where they're going, obviously, going up but less heartily as they have been. Do you look at the outlook for the rest of this year and believe there's potential for Vegas Strip EBITDAR to grow as you work through the year? 
Jonathan Halkyard: Yes, is the simple answer. As we look not only to the leading indicators that we have in our book of business, but also the initiatives that we have underway. And yes, we are confident that we can grow EBITDAR in Las Vegas this year. 
Carlo Santarelli: And then if I could, just -- I know you guys tightened up some of the slide deck materials and stuff and actually, it's very user friendly. Will the Hong Kong filing provide much of the same material that it provided historically on the MGM China piece of the business for modeling purposes? 
Jonathan Halkyard: Yes, it will. 
Carlo Santarelli: And will that be out at some point this evening? 
Jonathan Halkyard: Yes, in about 30 minutes. I'm told. 
Operator: Our next question comes from David Katz from Jefferies. 
David Katz: I wanted to follow on in the digital train of thought. And when we last spoke publicly, there were notions about potential further tuck-ins and some potentially of some meaningful size and continuing to grow that business through some acquisitions. I'm not sure that you touched on that today. And I just wanted to get a sense for what that thinking might be. 
William Hornbuckle: I didn't on purpose. There are some contemplated tuck-ins coming down the road. But for now, I'm just going to leave it at that. I think I stated on the earlier call, we're anxious to solidify something in sports. We like content businesses. We're anxious to get into the live dealer business. And so none of that's changed. And so I think you'll see us over the course of time here, do things that will further solidify that strategy and get us deeper into those objectives. 
David Katz: And if I can just follow up on BetMGM, right? There's a lot of your sort of commentary and vision for BetMGM has progressed appropriately, but in a steady way where from afar, it seems like there's a lot of fluidity on your partner side. And my question is, has there been any near-term sort of positive change and sort of how they're approaching the business, executing on the business, et cetera, beyond what you mentioned in some of your prepared remarks? 
William Hornbuckle: Yes. Look, I think Stella, their new CEO, is the breath of fresh air. She's been extremely transparent, she took Adam Greenblatt, who is the CEO of BetMGM to India to get under the covers, to meet with the design development teams. So she had him speak at a town hall about the importance of BetMGM and all that mattered and so we're excited by that. We think it's movement in the right direction, and it's something that, frankly, heretofore hadn't happened. And so that's all affirmative and positive. Everyone is agreeing to the road map. It's an extensive road map on product development, and it's going to take some time and energy and some investment, particularly in Entain's behalf, and they're fully supportive of that. And so yes, I think things have changed, and I think for the much better. 
Operator: Our next question comes from Brandt Montour from Barclays. 
Brandt Montour: So first question is on Las Vegas. Maybe you could reconcile or help us reconcile the slot volume trends that you saw in the quarter versus the really strong room rates? And I guess what I'm asking is, is there any sort of behavioral shift for customer trend shift going on under the surface? And what's driving that? Can you talk about the trade-off between those two factors? And how much control you have over that shift? 
Corey Sanders: Yes, I'll start, and John, if you want to add in. In the quarter, our convention mix was up, but also with the Marriott integration, we definitely strategically looked at reducing our lower end of that casino base. And so we definitely -- we believe that we got the revenue back in the hotel in the convention base for the lost revenue on the slot side there. 
Brandt Montour: And my second question is on MGM China. And Bill, you touched on the competitive environment there. Your market share in January was well documented to be high, but your average from the mass table market share over the quarter was obviously lower, it implies a lower exit rate. I'm just curious if you want to double back on the January market share and maybe talk about what happened there? And was it -- I guess it wasn't permanent of course, and how much of [ those hold ]? But what can you say about exit rate on market share heading in the second quarter? 
William Hornbuckle: Let me deflect to Kenny and/or Hubert here. I think most of it was tied to hold in January, but gentlemen, correct me if I'm wrong. 
Xiaofeng Feng: Yes. You were right. And we have also had some VIP place in January. So that was a major reason that we reached 20% market share in January, but definitely [ all of all ] is in mid-teens as we always said in our previous calls. 
Unknown Executive: The exit market share rate for March was 15.8%, and we're pretty much stable on that front. And we see a little higher number in April around that.
 [Technical Difficulty] 
Operator: Thank you for holding everyone. We do have the speakers rejoining the conference. Our next question comes from Chad Beynon from Macquarie. 
Chad Beynon: I wanted to start with capital allocation. So you purchased another $0.5 billion worth of stock in the quarter. Can you just update us. I know you said there's [ 17 ] left on the plan, but how you're thinking about opportunistic versus programmatic over the next couple of quarters? 
Jonathan Halkyard: Thanks, Chad. And again, I apologize for the interruption there. Yes, we did $500 million in the first quarter. It will be programmatic for the remainder of the year. That being said, we are looking at some upcoming equity investments later this year and into 2025 in our project in Japan. So that will certainly have some bearing on our share repurchase activity. But we do have, by our calculation about $1.2 billion in excess cash right now. And so at these values, share repurchases will continue to be a meaningful part of our capital allocation program. 
Chad Beynon: And then on the regional margins, I know there was a lot of weather interruption in January. Can you help us think about maybe the March exit rate, how that looks from a year-over-year perspective? And if you expect that to be stable on a go-forward basis? 
Corey Sanders: I'll cover it. March was an exceptional month as we saw it play really come back and the exit margin there was at 35%. 
William Hornbuckle: But I wouldn't suspect that to sustain let's be clear. 
Operator: Our next question comes from Stephen Grambling from Morgan Stanley. 
Stephen Grambling: I appreciate the longer-term thought process on the mid-teens free cash flow algo. But hoping you could peel back the onion a bit there as we think about tracking this going forward, what would be the underlying growth that you'd think through in Vegas versus the regions versus MGM China, kind of separating that out from BetMGM or new markets. And I think I heard you say through 2028. And I guess is that the right bookend? Or is that just more of a long-term thing? 
Jonathan Halkyard: Yes. We believe that the domestic operations can continue to grow, both in Las Vegas and the regions in the mid-single digits over that time frame. Now that's organic growth. We do have plans for some additional growth capital investment in Las Vegas mainly, which would  increase that growth rate. We think the growth rate is that or higher in our China operations. And then the reason we use the 2028 time frame is in that time frame, while that would capture our expected investments in the New York market, it would not capture the returns on the investment in Japan. But we just think that, right now, a 5-year time frame that's what we use for our internal planning, and that's what we think is reasonable to introduce when we talk about our compound annual growth rate of free cash flow per share. 
Stephen Grambling: And maybe one other quick follow-up. Just on BetMGM, you've said in the past that it's going to be self-funding from here. Is there anything that you'd be looking for where you'd say this is something that we would want to invest in to contribute to BetMGM or provide them with additional capital for any reason? 
William Hornbuckle: Yes. Well, there's a couple of potential things. Look, obviously, not that California is going to happen anytime soon. But if California were our other large markets, Texas, et cetera, Georgia, it could probably be another one you could put into this boat. We would be aggressive there, like I think all others would be, and so that would take some capital. And so we would never say never to be clear. And I'm speaking on behalf of MGM in terms of its growth and what it wants to do with that business. And so I think for now, as we think about this year, the plan that we put forward is going to hold. If we get product really right, we see an opportunity to lean in, we will. I don't necessarily know what it will do to the cash. It won't be meaningful. And so only some other or some acquisition comes along that we think BetMGM might be ripe for. But I think the way to think about it is the projection we have out there is probably a pretty safe projection for now. 
Operator: Our next question comes from John DeCree from CBRE. 
John DeCree: [ Bob ], maybe to start off on a high level, Bill, you've talked about some of the opportunities that you're watching Thailand, UAE, Texas. And obviously, we know where we're at in New York and Japan right now. So maybe of the other ones, curious if you could give us some additional thoughts or which ones you might be most excited about or I think maybe have the best chance of coming to fruition over the next couple of years? 
William Hornbuckle: I think at least in terms of the market, I think UAE will come to fruition. I think there's enough indicators there enough work has been done to recognize that either Abu Dhabi of note or one of the other Emirates will come to life. Obviously, [ Winn ] has got a project in the ground and is waiting for national legislation and regulatory framework. So I think that would be the most affirmative.
 Thailand is interesting. Obviously, it's fully within the government's control and hands at this point. The dialogue to date has been encouraging. We will see the cost to do business there, the margins that could be had would be compelling, very. But again, I don't want to get ahead of that curve.
 And Texas is -- if there's two or three states left in the U.S. that are meaningful, it's one of them. And so there's four big cities that have been talked about there without giving strategy. Everyone's got positioning and eyes on one of them as do we. And so we continue to follow that. But I wouldn't look for anything immediate there either, frankly, particularly in terms of brick-and-mortar. 
John DeCree: And maybe a follow-up more on BetMGM and the rest of the portfolio in the omnichannel strategy, it's kind of been a little bit of a focus. I don't know if we've talked too much about it today. So curious if you can share some updates on what you're seeing in terms of kind of crossover play and then maybe in the context of an event like Super Bowl in Las Vegas with a big draw. And now that you've got kind of tentacles around the whole nation through BetMGM, I'm curious how you're seeing those trends play out. 
William Hornbuckle: I think the notion of omnichannel and the notion of people that play back and forth is about 15% of BetMGM's database give or take. Until we get this single account, single wallet in Nevada, I don't think it's as meaningful as it could and potentially will be. I think that can be very meaningful long term for us because it's a unique position we would have here, particularly over the other leading contenders in this space. And obviously, we see a whole bunch of visitors every year here who have intent. And so for things like Super Bowl, et cetera, it would be important. But we have done a meaningful job and a good job in Super Bowl is the example of inviting, reaching out and making sure that BetMGM's VIP clientele are well catered to, and we hosted several of them during that event in particular, private party tickets to the game, et cetera. And so that activity will continue. It's really when we get single account, single wallet set up, and some more connectivity between MGM Rewards and BetMGM's loyalty system that you really see some traction. 
Jonathan Halkyard: I think it's also notable to mention that we had about 1 million sign-ups for MGM rewards during the quarter, an all-time record, 600,000 of those came from BetMGM. 
Operator: Our next question comes from Robin Farley from UBS. 
Robin Farley: Just circling back to your outlook for EBITDA in Vegas growing this year. Can you give us a sense of, I don't know, any kind of quarterly cadence? I assume that Q3 since you'd be comping the cyber hacking last year is maybe would have the easiest comps or would provide maybe most of the growth in that? Is that the right way to think about that?
 And then I also wanted to -- I was curious about a comment that Bill sort of mentioned here about additional capital investment in Vegas, and I'm wondering if you could give us any further shape of what that might mean? 
Jonathan Halkyard: Sure. We, right now, I think we'll be able to grow EBITDAR in Las Vegas in each of the next three quarters. And you're correct to note that the third quarter will probably represent greater growth relative to the second and the fourth quarter, primarily because of the incident last year. And then on the capital question. 
William Hornbuckle: Yes, I'm sorry, Robin. I often never [indiscernible]. I will go through that in some detail next quarter. And I think you'll find it all very interesting. And so if you could give me the privilege of that time, that would be great. 
Operator: And our next question comes from Dan Politzer from Wells Fargo. 
Daniel Politzer: We've been hearing more about outbound China picking up more recently. To what extent are you seeing that in Las Vegas? And particularly as it relates to [indiscernible], is that part of that growth outlook that you've kind of laid out here for 2024? 
William Hornbuckle: I make a macro comment. The challenge with China right now, we're about 30% recovered in terms of volume of people to fly in and out of China, if you have to fly over Russia, there's an economic burden if you can't fly over Russia. And so that puts pressure on packaging, tour, leisure, et cetera. And so until that's resolved, i.e., Ukraine, I think that challenge is going to exist.
 I had the good fortune of being in China about a month ago. I actually had the good fortune of meeting with President Xi and talking about this very subject. He is open to people to people exchange as he referenced it in a meaningful way. But I think we all have that bit of a hurdle. And then Corey, I don't know Chinese New Years was good, but go ahead. 
Corey Sanders: Chinese New Year's was good. And on the high-end side, we probably saw for the first time since COVID some more million-dollar customers than we've seen in the past, which is positive. We're still only about 55% of where we were in China on the high end from 2019. But even last -- a few weeks ago, we had a group come in for the Masters. They came to Vegas first, and they're going to send them to the [ master ]. So we're seeing some positive results there. 
Daniel Politzer: And then just pivoting to Macau. I think flow through in the quarter was around 30%. I know you've talked in the past a little bit about margins and expectations there. But is that kind of the right way to think about it going forward as we kind of fill out in terms of the recovery? 
Unknown Executive: Kenny, why don't you take that? 
Xiaofeng Feng: Yes. I think like basically, as we always said, in our cause, we are targeting about like a high 20s, around 30% of our EBITDA margin. Based on the current business trends, we feel comfortable with such kind of expectations. 
Operator: And our final question today comes from Barry Jonas from Truist Securities. 
Barry Jonas: I want to start with Macau. Could you maybe talk a little bit about the specific benefits you're seeing with your smart tables there? Should we expect any impact to market share once competitors get those tables? And I guess, is there any opportunity to use that technology in any other of your markets? 
William Hornbuckle: Go ahead, Hubert. 
Zhi Qi Wang: There are multiple aspects of the benefits of smart tables. First of all, you have game security. Of course, it's -- everything is tracked, and it's very difficult to cheat the game. It's almost impossible. And we have cases where people thought that they got away. But as soon as the chips come back, they were caught. And also operating efficiency because far less supervision manning. So these are just from a basic operation standpoint. And then because of the capability of tracking [ all these ] play, so it allows us to have a lot more data, which allows us to do precision marketing based on various customers playing level, we can also give them real-time rewards. 
 And it allows us to develop new games as well. For instance, we already launched insurance bet in this market, and this is impossible to do it manually. And with this technology, we can do it. So -- and it's also very favorably viewed by the regulators in this environment. And so yes, you're right, everybody is trying to implement that. And I think that we have at least several years of lead in the implementation and also take advantage of this technology to execute various programs. 
William Hornbuckle: Kenny do you want to add anything? 
Xiaofeng Feng: I just want to add a little bit in like -- actually, we had this technology already in 2016. People are always asking how we are leading this market? Why we are recovering in this way after COVID? I just want to make a little bit of comment on that. What differentiates us in the market is really -- most is a company-wide from the senior management, we possess a deep outstanding of our customers, particularly the premium mass from their culture, their habit, behavior background profile, even their home province and the dialects. 
 China is a vast country with a huge supply of nearly everything like a cutting edge technology like various hospitality products. In the past three years, we didn't waste our time and kept innovating and refreshing our products, our services to meet the ever-changing customer expectations. So we are doing that. We just launched two Casino [ F&B ] outlets in April, which has been well received on the social media and by customers. Basically, all the team members here, we encourage all of you to visit us in person, seeing is believing. So when you come, we can walk you through all the details, initiatives implemented in the past few years that we have done. I think that's my comment about our performance competitiveness. 
Barry Jonas: And then maybe just as a final question. Bill, when you look at the M&A environment right now, is there anything interesting for you strategically on the buy side within land-based gaming and the regionals or even Vegas? 
William Hornbuckle: Barry, if I could answer that, I wouldn't. But there's always interesting things. Vegas, we have a full plate as you know. And so -- look, the good news is we're in a position that we get advised news of most things that are happening out there. But no, there's nothing imminent that sits there as gee, wouldn't it be great to have at this point in time. So that's why we're focused on new markets and our digital business.
 And then ultimately, because this just leads into this, what's left with a lot of free cash flow is continue to buy back shares to get back to shareholders if we just don't think there's anything better to do with the cash. And we've done a lot of that. So I think it speaks to our -- obviously, the comps from [indiscernible] was extremely accretive, and we look for those, but there are not a lot of them out there. 
Operator: And ladies and gentlemen, this will conclude our question-and-answer session. I'd like to turn the conference call back over to Bill Hornbuckle for any closing remarks. 
William Hornbuckle: Thank you, operator, and thank you all for joining us. Sorry for the glitch in the middle of this. We're not sure exactly what happened on either side.
 As we talked about, obviously, a well-balanced portfolio. We think we've got great pillars in the ground in these four specific locations, Las Vegas, Regional, Macau and Digital. We think if you think about Las Vegas, we have luxury, we have convention, we have value. And we're literally in the epicenter of the entertainment offerings, both current and future. And so we're very excited by that.
 While we are third in digital, in BetMGM, we are #1 in brick-and-mortar operators who have entered this space. And so this is a highly competitive space. We're excited by where we are and what we're trying to get to. Much work to be done there and frankly, some catch-up to be done there. And we recognize it as well as our partner does. And so we're excited by that.
 We'll keep you all posted as New York and hopefully, UAE become a reality and same with Thailand and/or Texas. And in the interim, and I just said it earlier, but to the extent we have free growing cash flow, and we do, we'll continue to return it to shareholders when we don't there's anything better to do with the cash. So I thank you all, and have a great evening. 
Operator: Ladies and gentlemen, with that, we'll conclude today's presentation. We do thank you for joining. You may now disconnect your lines.